Operator: Ladies and gentlemen, at this time, I'd like to welcome everyone to the Resideo Technologies Fourth Quarter 2020 Earnings Conference. Today's call is being recorded. [Operator Instructions]  It is now my pleasure to introduce Mr. Jason Willey, Senior Director of Investor Relations. Mr. Willey, you may now begin, sir.
Jason Willey: Good morning, everyone, and thank you for joining us for Resideo's Fourth Quarter and Full Year 2020 Earnings Conference Call. On today's call will be Jay Geldmacher, Resideo's Chief Executive Officer; and Tony Trunzo, our Chief Financial Officer. A copy of our earnings release and related presentation materials are available on the Investor Relations page of our website at investors.resideo.com. We would like to remind you that this morning's presentation contains forward-looking statements. Statements other than historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Resideo's filings with the Securities and Exchange Commission. The company assumes no obligation to update any forward-looking statements. Additionally, during our call today, we may refer to certain non-GAAP financial information. A reconciliation of our GAAP to non-GAAP results is included in the company's earnings press release and accompanying presentation, both of which can be found on the Investor Relations section of our website. We identified the principal risks and uncertainties that affect our performance in our annual report on Form 10-K and other SEC filings. I would also like to remind everyone that we will host a virtual Investor Day on the morning of Thursday, March 11. Information regarding this event is available on our Investor Relations website. With that, I will now turn the call over to Jay.
Jay Geldmacher: Thank you, Jason, and good morning, everyone. We closed 2020 with a strong Q4, delivering better-than-expected revenue and profitability and making significant progress on our transformation efforts. Demand in our residential markets remain robust, and the ADI team again delivered impressive growth in the face of mixed market conditions in our commercial categories. Our strong finish to 2020 enabled us to achieve modest revenue growth for the full year, despite the unprecedented COVID-19-related challenges we and the global economy faced during the year. While we remain in the early stages of our transformation efforts, initial progress contributed to the margin expansion we delivered in the second half of 2020. This profitability improvement, combined with an increased focus on cash management, generated operating cash flow of $244 million in 2020, up from $23 million in 2019. Improving cash generation is one element of the significant progress we have made in solidifying our balance sheet and enhancing our financial flexibility. In late 2020, we completed a follow-on equity offering, raising $279 million. And after our debt refinancing in early February, we have no significant maturities before 2026. We are well positioned to make long-term value-enhancing investments in both our businesses and augment these organic initiatives with inorganic opportunities. Following a challenging first half of the year, we saw a meaningful improvement in end market demand beginning in the early summer. In the second half of 2020 we delivered strong year-over-year top line growth in both segments and significant margin expansion at Products & Solutions. Investments in our operations and strong execution from our supply chain organization positioned us to deliver for customers as demand accelerated. As we enter 2021, we see a number of positive structural trends across the markets we serve. People continue to spend more time in their homes and are directing their attention and invest to renovation and repair projects. Security has risen in prominence in the minds of many home and business owners. Trends in residential new construction also remain favorable. Our broad portfolio of product solutions, unmatched relationships with the pro channel and distribution reach across home and commercial security markets positions us to capitalize on these positive market dynamics, which we believe have durability. Since I joined Resideo in May, I have focused on accelerating our transformation efforts in building a world-class leadership team. Within Products & Solutions, we reorganized the breakdown silos that existed in the old line of business and engineering structure. We have brought the customer back front and center and are ensuring feedback happens across product management, marketing and engineering.  We have reprioritized customer service, with that organization now reporting directly into Phil Theodore, President of Products & Solutions. We have taken several steps towards reinvigorating innovation and technology development across the organization, beginning with bringing Jeff Frank on board. This continues with the recent alignment of resources to create a software and engineering organization, optimize to deliver services through a common platform. Across the board, these efforts position the organization to move quicker to address customer needs and accelerate new product and market development. While many actions are only a few months old, I'm encouraged by the early results. The new ways the organization is interacting and the exciting opportunities that have already arisen. Combined with steps that were taken throughout 2020 to reduce our cost base and refocus resources, we are well positioned to pursue growth while focusing on scalable, efficient business processes. With that, I will turn the call over to Tony to discuss our fourth quarter and 2020 financial performance in more detail.
Tony Trunzo: Thank you, Jay, and good morning, everybody. Both ADI and Products & Solutions exceeded our expectations in Q4. Consolidated revenue was $1.5 billion, an increase of 15% compared to Q4 last year.  For the full year 2020, revenue was up 2% as the strong second half offset the negative impact of COVID-19 in the first half of the year. Q4 gross margin of 28.2% was up 420 basis points from Q4 of 2019 due to improved cost absorption, lower inventory expenses and cost savings from transformation programs. Selling, general and administrative expenses for the fourth quarter totaled $271 million, up 12% from Q4 last year. Included in Q4 SG&A was a $29 million increase in bonus expense from improved business performance and a onetime COVID-related bonus as well as increased expenses related to transformation programs and investments in the business. Operating profit for the fourth quarter was $152 million or 10.1% of sales compared to $72 million or 5.5% of sales last year. For all of 2020, operating profit was $311 million or 6.1% of sales, up from $258 million or 5.2% of sales for 2019. We delivered over $50 million of net savings from transformation initiatives in 2020 compared to our target of $30 million to $40 million. Major factors behind these savings include lower SG&A through headcount reductions and savings on indirect spending as well as sales activation and direct procurement programs that positively impacted revenue and COGS. In 2021 and beyond, we will continue to focus on reducing costs while increasing the scalability, efficiency and control in the business.  This work will be visible through our progress on expanding gross margin, leveraging our cost base to improve operating margin and driving cash generation. Products & Solutions Q4 revenue of $676 million was up 18% due to improved demand across each of our major channels: OEM, trade, security dealers and retail.  Backlog, while lower than at the beginning of Q4, remains above historic levels. This reflects both positive demand and global sourcing constraints that are impacting our manufacturing operations and supply chain. Products & Solutions operating profit in Q4 was $166 million or 24.6% of sales compared with $84 million or 14.6% of sales in Q4 2019. Improved performance reflects operating leverage from higher volume as well as reduced inventory expenses and transformation program savings. ADI revenue of $825 million increased 13% year-over-year in the fourth quarter compared with a strong Q4 2019. Daily sales average for the fourth quarter was $12.5 million, up 10% compared with $11.4 million in Q4 2019. Demand was strong in residential-oriented categories, including intrusion and networking while more commercial centric categories, such as fire and access control saw slower activity. ADI's investments in e-commerce and digital selling tools helped drive e-commerce revenue sales over $100 million in Q4, up nearly 40% year-over-year. ADI will continue to invest in digital sales tools designed to drive sales force effectiveness and enable better customer service in 2021. Over time, these investments will enable a more consultative selling approach and a focus on higher-value transactions. ADI operating profit was $59 million or 7.2% of sales, up 13% from Q4 2019. ADI operating profit benefited from higher revenue and a continued focus on cost management, partially offset by increased investment activity as well as restructuring costs in Europe. Corporate costs for the quarter were $73 million or 4.9% of sales compared with $64 million, also 4.9% of sales in the fourth quarter of 2019. For the full year 2020, corporate costs were $291 million or 5.7% of sales compared with $279 million or 5.6% of sales for 2019. The growth for the full year reflects costs associated with transformation initiatives as well as increased bonus and pension expense, partially offset by transformation program savings and lower spin-related costs. Consolidated cash from operations for the full year 2020 was $244 million compared to $23 million in 2019. This strong performance reflects our improved operating results and lower cash tax payments. As Jay mentioned, we completed a follow-on common equity offering in Q4 that raised $279 million, expanded our research coverage and added several significant new shareholders to our register. As a result of the offering and our strong cash generation, we ended Q4 with cash and cash equivalents of $517 million and total outstanding debt of $1.2 billion. In early February, we refinanced our senior secured credit facilities, consolidating 2 term loans into a single upsized $950 million Term Loan B due in 2028 and extended and increased our revolving credit facility. Separately, we redeemed $140 million of our senior unsecured notes. In connection with the refinancing, Moody's upgraded Resideo's corporate credit rating to Ba3, while Standard & Poor's affirmed its existing issuer rating of BB and changed the credit outlook from -- to stable from negative. These transactions, combined with our strong cash flow, have dramatically improved Resideo's financial structure, reduced net leverage and positioned us for strategic growth initiatives. Moving to our full year outlook. We currently expect 2021 revenue to be in the range of $5.2 billion to $5.4 billion, which implies year-over-year growth in the range of 3% to 6%. Consolidated gross margin is expected to be in the range of 26% to 28% while GAAP operating profit is expected to be in the range of $450 million to $500 million. Our 2021 outlook anticipates corporate expenses of approximately $225 million, capital expenditures of approximately of $90 million, effective tax rate in the mid-20s and net interest expense of approximately $47 million. Note that ADI will have 2 fewer selling days in 2021 compared to 2020, reflecting 3 more days in the first quarter and 5 fewer days in the fourth quarter. As a reminder, our Honeywell reimbursement payments have limited tax deductibility, meaning the calculated tax rate on our pretax income will likely be higher than our effective tax rate. For the first quarter of 2021, we expect revenue in the range of $1.3 billion to $1.35 billion, an increase of 12% at the midpoint compared to Q1 2020. Consolidated gross margin is expected to be in the range of 25% to 27%, an increase at the midpoint of 190 basis points. GAAP operating profit is expected to be in the range of $110 million to $120 million compared to $34 million last Q1. Additionally, in Q1, we expect approximately $26 million of costs related to the early extinguishment of debt, which will be reflected on the other expense line of our P&L. Our outlook for both 2021 and Q1 takes into account supply chain constraints associated with COVID-19, higher freight, material expediting charges and market shortages of certain components such as microprocessors. We are working aggressively to mitigate these impacts, and are pleased with how our supply chain and operations teams have responded to the situation. Also included in our outlook for 2021 are incremental investments across the business. At ADI, these investments include systems to accelerate our e-commerce offerings and sales effectiveness, improved customer experience and drive scalable growth. Within Products & Solutions, we will be investing in incremental engineering and innovation capabilities, customer experience, manufacturing optimization, and processes and systems enhancements aimed at accelerating revenue growth and improving gross margins. As a reminder, moving forward, we will not report adjusted EBITDA and instead will focus on revenue, gross profit, operating profit and operating cash flow. As we've stated previously, we believe these GAAP metrics present a clearer picture of actual results against a known benchmark. I'll now turn the call back to Jay for a few concluding remarks before we take questions. Jay?
Jay Geldmacher: Thanks, Tony. I'm proud of what the organization accomplished in what was a very unprecedented year. The entire Resideo team stepped up to the immense challenges in personal and professional daily life brought about by COVID-19. As a company, we excel at navigating the numerous impacts of the global pandemic while embracing a significant amount of organizational change. I would like to thank all our employees for their efforts in ensuring that we continue to meet and exceed the needs of our customers across the globe. We entered 2021 in a much stronger position than where we were 12 months ago, both as an organization and the demand we see across our markets. We will continue to push aggressively on transformation, including accelerating investments that will position the business for improved long-term growth and profitability. This includes e-commerce expansion and tools to drive improved sales force effectiveness at ADI.  Investment in the tools, processes and organizational structure to better measure and improve our NPI and sales execution within Products & Solutions, and better aligning ADI and product solutions to expand opportunities between the 2 businesses. Our focus as a management team remains on rightsizing our cost structure, improving our operational processes and execution and accelerating our innovation and product introduction process. We believe execution across these initiatives will drive improved financial performance and long-term value creation. Finally, I'd like to remind everyone that we will host a virtual investor event on Thursday, March 11, beginning at 10:00 a.m. Eastern Time. We plan to further discuss the opportunities that exists within Products & Solutions and ADI, and outlining the longer-term financial framework we see for Resideo. We hope you will join us for this event. This concludes our prepared remarks. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from John Lovallo from Bank of America.
John Lovallo: The first one, Tony, just looking at the revenue outlook for the first quarter and then for the full year. It would seem to imply that the back half of the year could actually be down on a year-over-year basis. Is that consistent with what you're thinking?
Tony Trunzo: The guidance we gave today is for 2021 and for Q1, we're not really in a position to give quarterly or sort of half guidance, if you will. But for sure, the second half of 2021 is going to have -- 2020 -- second half of 2020 was very strong. And the comparables in the second half of this year are definitely going to be tougher. I think the -- we've also talked -- we also talked about the fact that we have some supply chain constraints in the early part of the year that we're trying to manage, it definitely weigh into the cadence of our year as well.
John Lovallo: Okay. That's helpful. And then I can certainly appreciate the focus on GAAP results. Just curious, though, will you be breaking out restructuring costs, stock comp, spin-off cost, et cetera, so investors who'll be able to, at least, reconcile the numbers to historical results? Or is that something you're just going to back away from completely?
Tony Trunzo: We'll give you stock comp. We'll give you D&A. We'll give you the kind of the -- what I'll call the line item pieces of EBITDA. But in terms of restructuring expenses and those kinds of things, as we said before, we're -- we see those as an ongoing activity within the business, and we'll talk about it. If they're significant, I guess it's possible that we could give a number, but the expectation is that we won't. But we'll just be absorbing those costs into the operations of the business. And that's the way we've shaped our guidance. Those -- our guidance includes costs associated with those kinds of things.
John Lovallo: Okay. And then lastly, if we think about your guidance, is there any more color you can give us on just a segment basis in terms of revenue and operating profit, I guess, most notably on the trajectory of P&S margin?
Tony Trunzo: Not at this point. We have -- we've obviously seen some meaningful improvement in P&S margins. We expect that to continue. But to this point, we're not in a position to give guidance by segment.
Operator: And our next question comes from Amit Daryanani from Evercore.
Amit Daryanani: I have a couple as well. I guess, first off, I was hoping you could just touch on your calendar '21 operating income expectations. A fairly good step-up in operating income dollars, I think it was $165 million or so. But why don't you just touch on -- what are the different buckets of this expansion is going to come from? Is it maybe across volume leverage, the transformation savings, mix? Just what are the big drivers for this operating dollar expansion in '21?
Tony Trunzo: Sure. Amit. So a couple of things. First of all, we're seeing significant -- we see a significant decline in SG&A this year. And again, I'm talking about GAAP numbers.  And we talked about the fact that our corporate expenses are going to drop by something on the order of $70 million, $65 million next year. And we do anticipate seeing margin expansion at P&S, in particular, even given the investments that we're going to be making in the business. That FX expansion, at some level, is going to be a product of the higher volumes, but it's also a product of transformation programs. And as I mentioned in my prepared remarks, there are headwinds in terms of costs that are baked into our expectations for 2021, particularly from the standpoint of freight, expediting charges, additional costs associated with procuring critical components, that are pretty meaningful. They are balancing out the benefits that I talked about.  And then finally, we are going to be making investments in the business. Those are -- as we've said before, those are things we're going to continue to do to the extent we think they can drive growth moving forward. And we've got those included in 2021 as well, both at P&S and at ADI.
Jay Geldmacher: And I think also, Tony, I think it's worth adding, just on the major transformation initiatives for 2021, really covers a variety of different areas. It's cost, of course, areas of COGS, like value engineering, our European footprint, price optimization activities or integrated business planning on the SG&A side, SKU rationalization, legal entity rationalization. But also in the area of revenue, we have a profitability management office as part of this new transformation team. And so I think we have a lot of things in-flight in the transformation area that will be impactful in 2021.
Amit Daryanani: Got it. That is really helpful. And then, Tony, you talked a couple of times about substantial inefficiencies and freight costs that sort of impact your margins. Is there a way to put a number around what these headwinds look like for you on a quarterly basis? And how do you offset this? Is it going to be driven by some of these transformation things that Jay talked about? Or could be -- could you use this as a pricing mechanism to your customers?
Tony Trunzo: You want me to take that, Jay?
Jay Geldmacher: Sure.
Tony Trunzo: There's a lot baked into that, Amit. The freight and logistics costs are real-time. We saw a significant increase in Q4, continues that -- those elevated costs continue to be the case in Q1. We've had to sort of make some assumptions about how long that persists and those kinds of things. And we've done our best to make that happen. And yes, they're being offset by all the things that Jay just described.
Jay Geldmacher: Yes. I'd add, as you know, Amit, I mean, this is going to be -- this is not new, listening to us. I mean, this is going to think it would be a dynamic that in the electronics industries that most companies are going to face during this year. And so as Tony indicated earlier, we believe we have factored in kind of both sides of the equation, right? What's going on out there in the supply chain, logistics challenges as well as in the -- in terms of what's going to happen in the component industries and what have you. And so some of this transformation and the other things that Tony talked about. But we believe we have factored in, in terms of our outlook. And it's dynamic and it's going to change as we go along. Anybody who has been in electronics industry a long time know when these things happen. It's a little bit of a bouncing ball as you wrestle it through a given period of time when these dynamics take place, and they seem to take place about once every 10 years or something where you have one of these types of situations out there. But part of it is also due to demands that are out there in the various markets. So -- but as Tony said, I think we have -- we -- hopefully, we have it all covered.
Operator: And our next question comes from Jeff Kessler from Imperial Capital.
Jeff Kessler: Jay, you mentioned several times about investments that you made during the year and obviously, are going to be making in e-commerce at ADI. Can you position yourself or where you think the company is right now against your major competitor, let's call, the major 1 or 2 competitors, both here in the United States and abroad with regard to your position in e-commerce and what you have to do to be on the same plane with everyone else?
Tony Trunzo: Jeff, it's Tony. I think -- so a couple of things about that. I mean, we are -- I don't know if we're ahead, behind or equal specifically to our competitors. But what I can say is the growth in our e-commerce business has been dramatic. Part of that is, obviously, the dynamic in the industry. But more importantly, we've invested some significant amount of money already, and we're going to invest an even more significant amount of money this year in driving our -- the entire e-commerce experience, making the ability for people to understand our product suite online, what's available, how it's available, making that experience seamless. And really driving people toward that channel is something that's a focus. And we expect that channel to grow pretty rapidly. The flip side of that, and really, one of the major objectives is to -- and this is -- I guess it's an investment as well, is by doing that, we will create a situation where our sales associates can be much more focused on sales rather than transactions, and they can be more consultative as opposed to doing transactions. And it is not our expectation that we will scale back investments in our branches as a part of e-commerce. We're going to maintain our investment at the branch level and probably grow it with the expectation that, that will drive, what I'll call, more traditional channel sales growth as well. So we see the e-commerce growth really as incremental and additive as we build out that capability.
Jay Geldmacher: Yes. I would also add what Tony said. I think, Tony, you're right on the head there in terms of what he just explained. And we've been accelerating the investment during 2020 and we'll be doing a lot more with Rob and his team in 2021. And it's really a combination of many initiatives around what we call touchless sales, as Tony said, e-commerce, e-mail or automation, ADI, digital marketing, promotional and sales activation campaigns, all the things that go underneath that. But we're very -- I'm pleased at the progress that ADI has made in this space, and they continue to accelerate their growth in that area. So it's an important part of their future.
Jeff Kessler: My follow-up question is most of your competitors that I do cover, particularly the ones in the security area, have been talking about somewhat of a -- if you want to call it a tamp down expectation for revenue in 2021 as the economy slowly reopens. And what I'm getting to here is that it would be -- you've mentioned and you'll probably talk about it on March 11, the trying to get communication and get the close, if you want to call it, the information loop much tighter between ADI and in your product side, so that you have a pretty good idea of what is going on. And how do you turn that into a competitive advantage, particularly if you begin to see the small to medium business area where you do operate begin to open up a little bit?
Tony Trunzo: So Jeff, I guess I'll make a couple of comments about that. You hit on a critically important point, which is that connectivity between P&S and ADI. And we really believe that, that is a powerful competitive advantage. We've got -- obviously, we're making real progress in terms of our NPI engine, in our innovation engine, and driving that through a world-class organization like ADI is a real opportunity. And I'd point to the introduction of our Pro series, finally, at the end of last year, which was one of the most -- and one of the most successful product introductions, if not the most successful product introduction, ADI has ever had. And I think you're right. I mean there's more to discuss in respect of that connectivity over time. But I think that's going to be a critical lever for us. In terms of the security market overall, it continues to be strong. Across the board right now, our constraint on the top line is more driven by the supply chain that we've talked about than by demand, and that's true in security as well.
Jay Geldmacher: Yes, I would agree with that. That's all good points, Tony. And I'd also say that there are certain aspects of the commercial market during COVID that was somewhat suppressed because you couldn't get access to on-site. So I think things will begin to change in that dynamic moving forward into 2021, and that should be beneficial.
Operator: [Operator Instructions] Our next question comes from Paul Coster from JPMorgan.
Paul Chung: This is Paul Chung on for Coster. Just another follow-up on e-commerce. What percent of ADI was that? And on the margin front, do you see that benefit kind of flow through on the operating margins? It looks like your gross margins were flattish for the quarter while your EBITDA margins were up nicely? Or was that upside mostly on cost actions? Just trying to get a sense for -- if your e-commerce mix provides a longer-term uplift to margins in general, if you could quantify the benefit, to the extent you can, as that channel growth accelerates? And I have a follow-up.
Tony Trunzo: Sure. Thanks for the question, Paul. So a couple of things. As we said, e-commerce was about $100 million in Q4. So what is that, 12% of sales something, and that's a code for ADI. That percentage is going to grow over time. But as I've said earlier, that's not necessarily because we expect to -- we expect all of that growth to be at the expense of what's happening in our branches. The -- we expect e-commerce to be a driver in and of itself as we improve our capabilities in that channel, and it will grow faster by all expectations than ADI as a whole. But we are going to continue to invest in the business. And from a -- it becomes a little bit of a circular discussion, but we've said this a number of times, we believe in the ADI business. It has executed exceptionally well for a really long time. And it deserves incremental investment and we're putting incremental investments against that business. And that's why you're not necessarily seeing significant expansion in the margins right now, it's because of that investment. We'll continue to do that as long as we see returns against it. And if those returns come in accelerated revenue growth ahead of our competitors, which we've consistently seen that in and of itself is a value-creating opportunity that we'll continue to put dollars against. So the margin profile, all of the things equal, if you were just a steady state in the business. You're right. And e-commerce should be somewhat more profitable just because it's got a lower overhead associated with it. But that's really not the way we're thinking about it. We're thinking about it as a sales accelerator and as an opportunity to continue to take share.
Paul Chung: Okay. That's actually very helpful. And then on free cash flow, a nice finish to the year. You had a nice benefit from working cap in '20. Are there any kind of initiatives to maybe drive further benefits there? Or is there going to be a slight drag this year on working cap? Just the puts and takes there. And then what do you expect free cash flow to kind of shake out this year? If you could also help us with the seasonality of cash flows to the extent you can, I mean, I guess, '21 was quite volatile.
Tony Trunzo: Yes. So I'll try to unpack that a little bit. In terms of where we are with respect to working capital, I think we've done a good job. We haven't -- our inventory levels, they reflect tightness in the supply chain. I'm not sure as to expect from where we are today. I wouldn't expect our inventory turns to improve just because we're, frankly, we're tight in a number of areas where we'd like to have a little bit more safety stock, particularly given the continued strong demand. In terms of collections and AR, we've -- 2020 was a very positive surprise to us. We were prepared to see significant delays and significant impacts to the credit quality of our customers associated with COVID, that didn't happen. And there's opportunities to improve the execution there. But there, too, I think the -- I think our days are pretty good. One other thing I'll call out, and this is sort of a little bit more philosophical, we're not believers in freeing up cash flow on the backs of our suppliers by stretching payables. We did do that in the beginning of 2019 -- or 2020. During the COVID period, there was -- everybody was cautious, and we were cautious among them in terms of how we treated AP, but we're current with our vendors. And we expect to continue to be current with our vendors, and that's the philosophical approach we're going to take. So I don't -- given all of the other initiatives in 2020, I don't want to point to a meaningful improvement in cash velocity in the cash cycle time in 2021, just because we're focused on a lot of other areas and we've got those inventory dynamics that we have to deal with.
Paul Chung: And any comments you can make on kind of seasonality of cash flows? It was quite volatile in 2020?
Tony Trunzo: Yes. I think -- I'm not sure that I've studied that in great depth. There shouldn't be tremendous seasonality associated with it. January, there's always a bunch of accruals at the end of the year that you pay in January. And we'll typically try to build inventory as we head into our somewhat busier season in Q3 and the early part of Q4. But broadly, it shouldn't be as volatile going forward as it was in 2020.
Operator: And our next question comes from Christopher Keller from Loomis Sayles.
Christopher Keller: I apologize if this was already addressed earlier in the call, I jumped on a little late. Can you make some comments on your ESG, environmental, social and governance initiatives. What you see to be the risks and opportunities there? How you can disclose these items to the market?
Tony Trunzo: Chris, thanks for the question, and very much on point. We are in the early days with respect to our ESG journey, but we're absolutely committed to it. And we think that we have a strong position relative to ESG because of the types of products that we provide and the opportunity for energy savings and other benefits that are not just the functional benefits of the product. We're going to have meaningfully more to say about that over time. As I said, it's a journey, but it's one that I can tell you that our Board and the management team are very much focused on. It really kind of broadens out, not just in terms of ESG, but D&I. And we're really -- we're going to be moving forward on all of those fronts, and we've got activities going in the company on all of those fronts today.
Jay Geldmacher: Yes, I would add also that Tony is 100% right. It's a major focus for myself, the whole management team, the Board. We just finished up a Board meeting here recently, and this was top of mind. So you'll hear a lot more about this as we move forward during 2021.
Tony Trunzo: And Chris, thank you for the question. This isn't something that has come up a ton yet with respect to Resideo. But it's -- we see it as an opportunity. We see it as a business opportunity. And we also see it as a cultural opportunity...
Jay Geldmacher: I agree.
Tony Trunzo: To build out what we're about as a company.
Jay Geldmacher: Yes. It helps define who we are as a company. It helps set the culture of the various changes that we've been driving over the last year. And it's critical to go, not just -- I should also include to our employees and our customers and our investor base.
Operator: And that concludes our questions at this time. I will now turn the call back to Mr. Jason Willey for closing remarks.
Jason Willey: Thank you, everyone, for your participation. And we look forward to speaking with you over the coming weeks. And hopefully, you will join us on March 11 for our virtual Investor Day. Have a good rest of your day. Thank you, everyone.
Operator: Thank you for joining us today. This concludes our conference. You may now disconnect.